Operator: Good morning. And welcome to the Gran Colombia Gold Q1 2021 Results Webcast. My name is Cheryl and I will be your operator for today’s call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session.  Please note that this conference is being recorded. And I will now turn the call over to Mike Davies. Sir, you may begin.
Mike Davies: Thank you, Cheryl. And good morning and thank you for joining us today for the Gran Colombia Gold first quarter 2021 results webcast. With me on the webcast this morning is our CEO, Lombardo Paredes. And as is customary, I will first go through our prepared remarks regarding our update on our performance in the first quarter and then Lombardo will be available as we open things up for the Q&A session.
Operator:  And our first question comes from Hugh Feathers.
UnidentifiedAnalyst: Yes. I have a couple of questions. One, when do you first expect to receive any revenues from your polymetallic recovery plant? I know you said the expected completion of it in the next couple of months but when do you expect to receive any revenues from it? And then were any of the drill results from Q4 2020 included in your resource update? Are you still waiting for results from that?
MikeDavies: Lombardo, do you want to respond on the polymetallic plant?
LombardoParedes: Yes, right. The operation, the start of operation in the polymetallic plant is going to be in June -- in the month of June, it will be startup of the plant and the commercial operation will start in August. We are already finalizing the contract. We are going to deliver the concentrate from the contractor or go to the company which will pick up the material -- will pick up the material in Segovia and will be transported to the Pacific port of Buenaventura in Columbia. The company' is -- internal company which is associated with Glencore. So the complete answer is in September we will start to receive revenues from that polymetallic facility.
MikeDavies: Okay, great. And on the other drill results through the -- the drill results up to about the end of November were included in the 43-101 update. So there's some ores from December and the results of that will be included in the next resource update.
UnidentifiedAnalyst: Hello, do you intend on continuing the dividend after the Gold X merger?
MikeDavies: Absolutely.
Operator: Our next question comes from Nick Burkhardt. 
UnidentifiedAnalyst: Hi, guys. I had a couple questions. First question, I was wondering if you could comment on the situation in Gran Colombia? From what we see on the news, it's not great. Is that having any impact? I know, you guys have done a lot of work on relations with the community there, but is that having a potential impact on production.
LombardoParedes: No, the answer is not, we have not any impact related with the strike and the general concentration of people in Colombia. In fact, yesterday it was calling Colombia some kind of mining strike, but then nothing happens, basically, today we will be a concentration in Amalfi which is a town to our Segovia. And probably they will interrupt the roads and , but that will not affect our operation. In -- we don't -- we did not suffer any interruption because of the situation in Colombia.
UnidentifiedAnalyst: Okay, that's great. And then the other question was on the tax side, it was significantly higher than Q1 of 2020. Is that all because of the higher gold prices or anything else going on?
MikeDavies: No, it's partially, it would be two things. Definitely the higher gold price which improved our profitability last year, as you saw with record earnings. So we are paying a larger tax bill, and Q2, as always, will be a bigger tax cash payments season for us. We've made a payment in April, and we've got another one coming up in June. The other factors we announced in our year end results is that we know we've now been so profitable in Colombia that we have to pay a 10% withholding tax on money that we are bringing up from Colombia. So we did have some of that in the first quarter that we paid as well.
Operator: And presenters, I show no further questions in queue at this time. 
Mike Davies: All right. I'd like to thank everybody for joining this morning. We do have the shareholders meeting coming up in a couple of weeks. So we look forward to your participation on that. And please stay tuned. We'll have further updates, as I mentioned, with exploration coming out at the end of the month, and certainly an update on the proceedings around the shareholders meeting on the Gold X transaction. So thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for your participation. You may now disconnect.